Operator: Good day, and thank you for standing by. Welcome to the Cactus Quarter 2 2024 Earnings Call. [Operator Instructions]. Please be advised that today's conference is being recorded. I would now like to hand the conference over to your first speaker today, Alan Boyd, Director of Corporate Development and Investor Relations. Please go ahead.
Alan Boyd : Thank you, and good morning. We appreciate you joining us on today's call. Our speakers will be Scott Bender, our Chairman and Chief Executive Officer; and Jay Nutt, our Chief Financial Officer. Also joining us today are Joel Bender, President; Steven Bender, Chief Operating Officer; Stephen Tadlock, CEO of Flex Steel; and Will Marsh, our General Counsel. Please note that any comments we make on today's call regarding projections or expectations for future events are forward-looking statements covered by the Private Securities Litigation Reform Act. Forward-looking statements are subject to a number of risks and uncertainties, many of which are beyond our control. These risks and uncertainties can cause actual results to differ materially from our current expectations. We advise listeners to review our earnings release and the risk factors discussed in our filings with the SEC. Any forward-looking statements we make today are only as of today's date, and we undertake no obligation to publicly update or review any forward-looking statements. In addition, during today's call, we will reference certain non-GAAP financial measures. Reconciliations of these non-GAAP measures to the most directly comparable GAAP measures are included in our earnings release. With that, I'll turn the call over to Scott.
Scott Bender : Thanks, Alan, and good morning to everyone. I'm pleased to report that revenues and margins in both of our segments improved despite year-to-date declines in our industry's North American land activity. I'm very proud of our associates' continued commitment to customer execution that's led to this consistent record of outperformance. Some second quarter total company highlights include revenue of $290 million adjusted EBITDA of $104 million, adjusted EBITDA margin of 35.7%. We increased our cash balance to $247 million. And yesterday, we announced that our Board approved an 8% increase in the quarterly dividend to $0.13 per share. Before we move into the financial review, I'd like to take this opportunity to formally introduce the newest member of our leadership team, Jay Nutt. Jay joined us as Chief Financial Officer in June and is immediately brought value and helpful perspective to our company given its extensive global financial leadership experience. We're delighted to have him. I'd also like to thank Al Kiefer for his outstanding service as Interim CFO these past few months. I'll now turn the call over to Jay, who will review our financial results. Following his remarks, I'll provide some thoughts on our outlook for the near term before opening the lines for Q&A. So Jay?
Jay Nutt : Thank you for your kind words, Scott. I'm privileged to have the opportunity to join an industry leader such as Cactus. I appreciate the confidence that the leadership team has placed in me, and I look forward to helping guide the company's continued growth while sustaining industry-leading returns. As Scott mentioned, we had a solid quarter, resulting in total Q2 revenues of $290 million and total adjusted EBITDA of $104 million. For our Pressure Control segment, revenues of $187 million were up 6.9% sequentially, driven primarily by shipments of production equipment to a large customer who had not previously used Cactus, combined with customer efficiency improvements, leading to increased products sold per rigs followed. Operating income increased $4 million or 7.7% sequentially, with operating margins increasing 20 basis points. Adjusted segment EBITDA increased $4.7 million or 7.7% sequentially, with margins increasing by 30 basis points. The operating and adjusted EBITDA margin improvements were due to higher operating leverage on the increased volume. For our spoolable Technologies segment, revenues were up 4.7% sequentially due largely to the resilience of international shipments and higher domestic customer activity. Operating income increased $13.6 million sequentially, primarily due to a smaller expense resulting from the remeasurement of the Flexsteel earnout liability. Adjusted segment EBITDA increased $3.7 million or 9.4% sequentially, while margins increased by 170 basis points resulting from favorable operating leverage and lower input cost. Corporate and other expenses were $5.9 million, up $400,000 sequentially on higher stock-based compensation. On a total company basis, second quarter adjusted EBITDA was $104 million, up 8.7% from the first quarter. Adjusted EBITDA margin for the second quarter was 35.7% compared to 34.8% for the first quarter. Adjustments to total company EBITDA during the second quarter of 2024 included noncash charges of $5.9 million in stock-based compensation and a $2.9 million charge related to the final remeasurement of the Flexsteel earnout liability. Depreciation and amortization expense for the second quarter was $15 million, which includes $4 million of amortization expense related to the intangible assets booked as part of the Flexsteel acquisition. During the second quarter, the public or Class A ownership of the company averaged 83% and ended the quarter at 84%. GAAP net income was $63 million in the quarter versus $50 million during the first quarter. The increase was driven by the stronger operational performance on the higher revenue achieved combined with a smaller quarterly change in the remeasurement of the earn-out liability. Book income tax expense during the second quarter was $18 million, resulting in an effective tax rate of 22%. Adjusted net income and earnings per share were $65 million and $0.81 per share, respectively, compared to $60 million and $0.75 per share in the first quarter. Adjusted net income for the second quarter was net of a tax rate of 26% applied to our adjusted pretax income. During the quarter, we paid a dividend of $0.12 per share, resulting in a cash outflow of approximately $10 million, including related distributions to members. Additionally, we made early cash TRA payments and associated distributions of $18.2 million. We elected to make this early payment of the majority of our 2023 TRA liability to minimize the interest expense on the liability, and we expect to pay the remaining balance in the third quarter upon completion of our tax filings. Due to our strong operating earnings and disciplined working capital management during the quarter, we increased our cash and cash equivalents balanced by $52 million, notwithstanding the aforementioned payments, and we closed the quarter with a cash balance of $247 million. Net CapEx was approximately $7 million during the second quarter. In a moment, Scott will give you the operational outlook. Some other considerations when looking ahead to the third quarter include an effective tax rate similar to the second quarter rate of 22%, and we estimate that the tax rate for adjusted EPS will continue to be approximately 26%. Total depreciation and amortization expense during the third quarter is expected to be approximately $15 million, with $7 million associated with our Pressure Control segment and $8 million associated with spoolable technologies. We are reducing our full year 2024 net CapEx outlook to be in the range of $35 million to $45 million due to the timing of our international expansion efforts. As noted, the remeasurement period for the Flexsteel earnout payment is now complete and the final payment of $37 million is expected to be distributed in the third quarter. Finally, the Board has approved an 8% increase in the quarterly dividend to $0.13 per share, which will be paid in September. That covers the financial review and outlook, and I'll now turn the call back over to Scott.
Scott Bender : Thanks, Jay. I'll now touch on our operational expectations for the third quarter by reporting segment. Based upon preliminary revenue for July, we expect Pressure Control revenue to moderate mid-single digits versus the second quarter due to the combination of lower average U.S. land drilling activity and less visibility into production equipment shipments. From speaking with our customers, we believe that most of the decline in U.S. land drilling activity levels is now behind us. Although the potential for further rig reductions remains as operators continue to pursue and complete consolidated transactions. We may see some offset to the consolidation activity via expected drilling efficiency increases of the newly combined businesses. Adjusted EBITDA margins in our Pressure Control segment are expected to be essentially flat at 33% to 35% for the third quarter as cost efficiencies are offset in part by increased ocean freight costs. This adjusted EBITDA guidance excludes approximately $3 million of stock-based comp expense within the same. I'm pleased to announce that the first shipments of our next-generation wellhead system have now arrived at our U.S. branches and are presently being staged for customer shipment. This rollout will enhance our manufacturing cost profile in the coming quarters, while adding features for our customers and maintaining safe drill status as the industry-leading wellhead system. Regarding our Disposable Technology segment, we expect third quarter revenue to be flat to slightly down from the second quarter. This guidance reflects our expectations of a stable North American business that continues to outperform year-to-date activity reductions, combined with lower international shipments due to the timing of deliveries achieved in a strong second quarter. We expect adjusted EBITDA margins in this segment to be approximately 39% to 41%, and for the third quarter, which excludes $1 million of stock-based comp in the segment. As a result of operating discipline by our team, input costs were lower than expected in the second quarter, and we're beginning to realize the benefits of using the Cactus supply chain to source certain components of our Flexsteel product. Regarding our international expansion plans, pressure control product qualifications is progressing well, but at a slower pace than we anticipated. We still expect to achieve product qualification in 2024, remain focused on establishing a Mideast business and are dedicating significant resources to these efforts in both segments. We will continue to take a disciplined approach to evaluating strategic opportunities. Adjusted corporate EBITDA is expected to be a charge of approximately $4 million in the third quarter, which excludes around $1.5 million of stock-based comp. I remain very pleased with the market positioning of Cactus, our portfolio of high-margin, high-return products and services and the commitment of our organization to exceed customer expectations. I'm eager to responsibly roll out our latest generation wellhead system to customers and to enable them to achieve reduced drilling times while enhancing safety and reliability. In addition, we'll complete prototype testing of our new frac valve design, which should significantly reduce maintenance costs. As we prepare to make the final earn-out payment to the sellers of Flexsteel, I am reflecting on the value that we've generated for our stakeholders by incorporating that business into Cactus. Over the last 12 months, our Spoonable Technology segment has generated $164 million of adjusted EBITDA, which equates to a multiple of approximately 4x the total consideration pay for the business, including the upcoming final earn-out payment. I continue to believe that we are still in the early phases of growth for that segment. We will remain focused and responsible stewards of capital and are allocating capital and investing in the business with a focus on long-term value generation while rewarding shareholders as reflected in our decision to raise the dividend by 8%. In summary, our primary objectives for the for the next 18 months include: meaningful supply chain contribution from our new non-Section 301 manufacturing facility to enhance the cost and risk profile of our supply chain, increased deliveries of our next-generation wellhead system, introduction of our next-generation frac valve, continued customer additions and increases within our existing customer base for our spoolable business, supported by the introduction of new products and services and international expansion in both segments. And so with that, I'll turn it over to the operator so that we may begin with Q&A. Operator?
Operator: [Operator Instructions]. Our first question, comes from the line of Luke Lemoine with Pipe Sandler.
Luke Lemoine : Scott, you noted the international momentum in spoolable. Just wanted to see if you could expand on that a little bit. And then also in Spolables, if you could just talk about how what traction you're getting with some of the larger diameter stop as far as gathering and takeaway lines, that would be helpful as well.
Scott Bender : All right. Very good. I'm going to let if you don't mind Mr. Tadlock respond to that.
Luke Lemoine : Yes, sure.
Stephen Tadlock : Surely. On the international efforts, we've added key personnel. We're very focused on growth in this area. I think in historically, while Flexsteel had more of an international presence than Cactus actually, it really wasn't an area of focus, and it was sort of if the order came, they would certainly take it, but it wasn't something they were really going out and trying to grow. So we're changing that philosophy, seeing a lot of increased quoting activity as a result. We're adding installation equipment to facilitate the growth as well. So we feel like we're just scratching the surface on international. I think on the larger diameter, we are definitely seeing more interest in our larger diameter SKUs as people recognize the benefits of the rapid installation and the enhanced corrosion resistance. And so I think that's progressing nicely, both in the midstream area, but also even some E&P operators that are sort of changing the way they do their takeaway and gathering.
Luke Lemoine : Okay. And then just a follow-up, Scott. I always appreciate kind of your market outlook in the U.S. And I mean you did note that you think most of the rig count is behind us. could you just expand maybe upon the back half of the year? Do you see it pretty flattish, oscillating around this level? And any kind of indication maybe for the start of '25 that you see right now?
Scott Bender : Yes. I know you all have good memories. So last time I told you that contrary to maybe some of the published reports at the time, I saw the U.S. land rig count in the $5.50 to $5.75 range. I think, Alan, we bottomed at 560 and have rebounded slightly to 5.68%. I absolutely feel like the worst is behind us. But we are scaling our business based upon the $550 million range. Do I think we're going to go below 550? No. Am I seeing indications from customers that we're going to go below 550? The answer is known as well. But I'm still very concerned about and you all should be about natural gas prices. And I'm probably a little less concerned in '24 because I'm getting right to answer your 2025 question. I'm a little less concerned about the reduction in overall rig count following consolidation. I think we've really only seen evidence of that in one case, and it hasn't been meaningful. So I do think that we're going to get better natural gas support in 2025. But offsetting that, I think we're going to see more effect from consolidation efforts. Now I need to add something about consolidation because from our perspective, it's not all bad news. So I'm giving you a long-winded answer, I'm sorry. If you're concerned about rig counts and we've always used that as a proxy because it's easy we've seen shipments of wellhead equipment per rig per month go up, hence, the comment I made about efficiency. So sometimes people see efficiencies and they say, well, they're going to be able to drill less wells. That's not what I meant. What we do is we measure every month the number of housings we ship against the number of rigs we service, and we've seen a very meaningful increase. I think a better proxy for our business is well drilled than our rig count. And just further, I've said before that long-term consolidation is probably a friend. On the one hand you know that customers with larger rig counts have much more leverage in terms of pricing. So I think it's probably too early, but next quarter, I think I'll have a much better idea. We're just now beginning to pull our customers about their plans for 2025. So if you stand by I'd rather give you correct information and merely speculation.
Luke Lemoine : Okay. No, perfect. Definitely appreciate all the detail, and I'll turn it back.
Operator: Thank you. We will refer our next question. Our next question comes from the line of David Anderson with Barclays.
David Anderson : Scott, so while I to over that sort of complicated North American outlook, you just provided there. Maybe I could follow up a little bit on what Luke's question was on the international side. I'm also kind of curious about the spool international business. How are you kind of driving that? Are you bundling that with your other kind of with the pressure control? Are you going into the same market? Just kind of curious about the strategy of building out that international business? And kind of secondarily, do you have like a target for us of kind of how much of your business you think will be international, say, I don't know, the end of '25. I know you have the stuff coming on Saudi. I think that's more of a 26 time frame. But just sort of in your mind, how does international grow as a portion of your business over the next few years? Just kind of bigger picture.
Scott Bender : I assume we're talking about spool.
David Anderson : Well, I was originally talking about spool I'm kind of bringing to the broader kind of your overall international efforts overall. So I'm curious how spool segment fits in, but then bigger picture kind of how does international overall fit over the next few years from what you can tell.
Scott Bender : Okay. Steve, do you want to talk about spool?
Stephen Tadlock : Yes. And I think there is a question in there. Are we bundling. We're not really bundling, but we do have some resources that are shared internationally that are in the region, and they have both experience and wellhead, some of them more experience in wellhead and some more experienced and spoolable. So they work together. And obviously, you have channel partners in certain areas over there as well. So they hit up the same ones. In terms of spoolable growth, I think we had, had a presence in terms of or we've had sales continuing with one large customer who probably guess in the Middle East, but we feel like we can make further inroads with that customer just by being more responsive, frankly, and dedicating more resources and equipment there. And similar in other areas like Latin America and even over in Australia, where we had a wellhead operation, we're looking to grow in that area as well. So I think it's a holistic approach to how we're trying to grow spoolable and we're trying to leverage any benefit that we have from the Cactus relationships, but we're also bringing in new people and using the existing resources. As far as how big it could be, I mean, we really on the spoolable side, there's a lot of potential for growth there are a lot of large projects, consistent projects. So I don't see why it couldn't be similar to North America at some point. It's just it's going to take time to get there.
Scott Bender : Yes. I mean let me just expand upon that because we just had a Board meeting. And you weren't surprised you. Now when I tell you our board asked the same question, and I told them that it's my expectation. It remains my expectation that in the next few years, we'll have to expand capacity because there are a lot of international there's a lot of international activity. And when it comes to international, I think as much as we stand apart in the U.S, I think we stand apart even more internationally because of a larger diameter and higher pressures. So Frankly, I think I told you this when we bought spoolables that I felt like the runway was even greater. And I still feel that the runway is even greater, notwithstanding our efforts from the wellhead side internationally. So your question about what do I see in terms of international for the next -did you say 25?
David Anderson : Yes, just kind of the next company or 25, 26, just sort of curious to how much does this grow? Just a bigger picture.
Scott Bender : I'm going to tell you right now, my objective is 40% of our revenue.
David Anderson : My question is so the U.S. administration, there's a change in use administration. It seems like we would see likely increased tariffs on Chinese goods once again. Just can you just refresh us a little bit? You have a lot of your manufacturing out of China. I know it impacts some of that in terms of costs. Is there anything you would do differently this time around if this happen again? Do you ramp up U.S. manufacturing? Are there other levers you can pull? Or is it really not that much of a big deal because your competitors are faced with the same thing. So it's all kind of a push in terms of costs.
Scott Bender : Yes, I would say the latter so for example, I think I may have mentioned that the plant that we're finishing right now and should begin to ship in the fourth quarter, it's capable of taking care of our international business, although we intend to manufacture in both locations. So we built a plant with that in mind. In terms of increased tariffs, I think worst-case scenario, I don't want to make political comments, but likely scenario is maybe I don't know if it's likely one scenario is that there's a 10% duty on top of everything, which certainly won't hurt us anymore than it hurts our competitors because frankly, we make more of what we sell in the U.S. than any of our competitors make in the U.S. and we're more capable of making product in the U.S. So I don't like the cost to go up, but I'm not nearly as bothered when it affects our competitors to the same extent. So worst-case scenario is, I mean, I'm sure you all heard that one of the candidates claimed that tariffs were going to go to 60%. I think that we are much better positioned to deal with a 60% tariff on Chinese product than anybody else. Let's hope we don't get there.
Operator: Our next question comes from the line of Jeff Lee blank with TPH.
Jeff Lee: For my first question, I wanted to see if you could expand upon the drilling efficiencies you previously referenced, particularly given that you have a more holistic view on the market and the fact that operators typically include lateral lengths when they talk about efficiency gains. So any way you can quantify the magnitude? I know you qualitatively referenced it before.
Scott Bender : I can quantify it to the extent that we track it, Alan, I think over the quarter or over the year, it's about 10%.
Alan Boyd : Yes. Quarter-over-quarter, it was around 10% for us, but that metric is pretty lumpy.
Scott Bender : But what we do is we look at the number of wellheads we ship versus the number of rigs we serve and we compare that quarter-to-quarter to measure efficiencies. So that's why I said the better proxy is wells that I know that everybody believes these longer laterals. And that certainly is the case. It takes longer to drill for longer lateral. But I can't argue with the stats, the stats showed a 10% increase in wellhead shipments against the same number of rigs.
Operator: Our next question comes from the line of Amer Jayaram with JP Morgan Securities, LLC.
Amer Jayaram: I'm intrigued about one of the drivers of the 2Q beat was a significant order from a large customer is new to CAC. I was wondering if you could give us some more details on that and thoughts on how this relationship is going and other follow-on opportunities here.
Scott Bender : I can't tell you that except to tell you that it's a customer that has historically been a Cactus customer for wellheads, but has not historically been a production tree customer. We internally feel like customers are now becoming more discriminating when it comes to production than they were over the last several years. So I think it's a question of I mean, they like the fact that we build our own valves. And they like the fact that we control the delivery of those valves, not just the quality. So I think that Joel will join me in saying that we're more optimistic about growth in our production segment than we've sometime.
Joel Bender : We've seen a lot more activity, a lot more inquiries for the product. I think a lot of our bigger customers become much more risk averse. So they're looking for an API monogram product with aftermarket service.
Amer Jayaram: And just maybe a follow-up. One of the things we're thinking about as we think about 2025 and thinking about kind of the margin profile of Cactus, you'll have a new manufacturing facility, which I think is going to be low cost. And then you'll have a new frac valve as well as the new generation wellhead product. And if we remain and called a lackluster environment in North America is not a huge call on shale volumes as we sit here today. How do you think about how margins could behave in this kind of environment with some of the self-help and new product introductions?
Scott Bender : Yes. I feel very optimistic. But I want to say this to you, and I've said it before. We are going to roll out, particularly the wellhead product in a responsible manner, which means that we need to turn our existing inventory before we open up the tap. So I think that Joel feels like it's not that the product is not ready because the product is ready. And if need to ship it tomorrow, we could, but we have through our careers, Joel his career and my career, we have always been very, very sensitive to obsolescence. So we have a great product in our existing product. This is a better product. But we want to make sure that we don't impact financially our returns. So you're going to have to bear with us and trust that we're going to introduce it in a responsible fashion. But the short answer is, I think that even in an anemic 2025 that our margins are going to hold up very well.
Operator: Our next question comes from the line of Scott Gruber with Citigroup.
Scott Gruber : Scott. I want to come back to the question on picking up the production tree share with a large customer in the U.S. I guess my question is, when you look at the dozen or so large E&Ps and majors which are obviously increasingly dominating the industry, you have strong share in wellheads. Can you give us a sense for kind of what percentage of that cohort? Does the production market share not match the share on the wellhead side?
Scott Bender : So let me clarify your question. You're asking me theoretically that our market share for wellheads with these customers is going to and we don't report market share, except that if you were in the room, I patch on the intake not to worry about it. But let's say that, that number was 40%. You're asking what our market share is for production valves as a comparison as compared to that.
Scott Gruber : Yes, one thing with delta between those 2 numbers and how much of an uplift you could get if the share is aligned.
Scott Bender : There is a pretty significant disparity between our market share for production valves. And so I'm looking at Joel and looking at Stephen, we've never really measured it, but I would be surprised if our market share for production valve is half.
Scott Gruber : And then just theoretically, if a customer is using you for wellheads, but not for production trees and then they start using you at the same share in their workload for production trees. And what's the approximate revenue opportunity? Does it match the low head side? Any sense of scale?
Scott Bender : No, I wouldn't say it matches the wellhead. It's probably I'm thinking the average production tree and 40% of a wellhead. An chicken feed.
Operator: Thank you so much for that. All right. I'm showing no further questions at this time. I would now like to turn it back to Scott Bender for closing remarks.
Scott Bender : Okay. Thank you all for participating. I think that when we have 10x more people than we had last time than we I guess, Patterson. Look, I think 2025 for us is an exciting time. Despite the fact that we're not planning for any sort of explosive growth, but you know how unpredictable this business is. Here's what I can tell you. Our costs will be lower. Our productivity will be higher. And our focus is extremely, I think, laser sharp, and that's why I summarized my remarks with I want you to know what our objectives are for this year. And everybody in this organization knows what our objectives are. So they're clear. And we are -we remain the largest shareholders, and you can be sure that we're going to do what's best for our shareholders and for the family. And I'll leave it at that. But thank you for your continued support. Have a good day.
Operator: Thank you for your participation in today's conference. This does conclude the program. You may now disconnect.